Hans Sohlström: Thank you for joining us today. I am Hans Sohlström, the President and CEO of Stora Enso. I'm here with our CFO, Seppo Parvi, to walk you through our performance and provide insights into our future outlook. We will also address any questions you might have towards the end. Let's begin by directing our attention to this striking image. This is an image from the interior of our new head office soon to be prominent landmark in the main harbor of Helsinki. We have just started to move in. This building not only represents our commitment to sustainable development but also stands as a testament to the innovative use of wood in modern architecture. For every tonne of wood utilized in constructions like this, we are able to sequester 1 tonne of carbon while simultaneously avoiding the emissions of at least another tonne of CO2 compared to traditional construction materials. Today's presentation is headline, continued profit improvement with strengthened leverage ratio. I will explain further what this means to Stora Enso and how we have achieved these results as we move through the presentation. Now let's shift our focus to the key highlights of the quarter. These highlights not only showcase our strategic progress, but also emphasizes our dedication to sustainable growth and financial stability. Firstly, I'm encouraged to report that our Q2 2024 adjusted EBIT more than quadrupled year-on-year with an enhanced EBIT margin marking our third consecutive quarter of sequential adjusted EBIT growth. This performance aligns with our expectation and reinforces our upgraded full year 2024 adjusted EBIT guidance announced on the 15th of May to be significantly higher than last year's €342 million. Our value creation and profit improvement programs are progressively contributing to our earnings growth. Through targeted value creation efforts, we are reducing variable costs, optimizing sourcing and enhancing efficiencies across all divisions. Concurrently, our profit improvement program initiated in February this year is advancing successfully to deliver an additional €120 million in adjusted EBIT by lowering fixed costs with full impact from '25. Our financial position has also strengthened as indicated by an improved net debt to adjusted EBITDA ratio quarter-on-quarter. We have also managed to significantly reduce our operating working capital to an all-time low, which has enhanced our liquidity and financial flexibility. These achievements are a testament to our commitment to operational excellence and financial prudence, highlighting our ability to deliver sustainable value and setting the stage for continued success. Let's now take a look at our results and the contributing factors in more detail. Group sales decreased slightly by 3%, reaching €2.3 billion, mainly due to structural changes including site divestments and closures throughout 2023. While on the other hand, sales from the continued operations grew by 1%. We had higher deliveries across all divisions alongside increased prices in our Biomaterials and Forest division. Although prices in the Packaging Materials division have started to increase, they still remain below the level from a year ago. The adjusted EBIT rose significantly to €161 million from €37 million a year ago, with the margin improving 7% from 1.6%. This positive result was primarily driven by higher volumes and a decrease in many variable cost categories. However, the raised fiber cost continued to create challenges and squeezed our margins. Additionally, fixed costs decreased mainly due to implemented cost-saving actions. The restructuring efforts from the previous year alongside this year's value creation, and profit improvement programs have been instrumental in improving our profitability and competitiveness on a sustained basis. Our cash flow from operations reached €323 million bolstered by a reduction in our operating working capital by €576 million year-on-year, achieving an all-time low. This success is a result of our continuous efforts to enhance working capital efficiency and release capital, ensuring a robust financial position for the future. Let's dwell deeper into the development of the adjusted EBIT. As previously noted, the group adjusted EBIT rose significantly to €161 million from €37 million a year ago. A key contributor to this increase was higher volumes in our continuing operations, particularly in the Packaging Materials division, which improved profitability by €79 million. However, we also continued to face upward pressure on fiber costs, primarily wood, which negatively impacted our margins and decreased profitability by €64 million. On a positive note, apart from fiber costs, many other variable cost categories such as chemicals continued to decline, contributing an improvement of €56 million to adjusted EBIT. The value creation programs, which focus on sourcing, operational and commercial efficiencies are progressing well across all divisions. Additionally, fixed cost saw a reduction of €53 million, primarily due to cost reduction actions. These programs employ an analytical and structured approach significantly enhancing both our profits and cost competitiveness and are integral to our ongoing financial health and competitive positioning in the market. Now if we look at our divisions more in depth, let me begin with an overview of the Packaging Materials division. Demand for consumer board remains solid and demand for containerboard improved throughout recovery remained -- though recovery remained hampered by sluggish retail trade growth. Sales decreased marginally by 1% to €1.1 billion. The decline is mainly due to the impact of the production unit and line closures from the previous year, which adversely affected sales volumes. Despite this, the negative impact was largely offset by a steady recovery in volumes for both consumer and containerboard continued operations. Political strikes in Finland during the early part of the second quarter led to production curtailments and some sequentially delayed shipments and the implementation of price increases during the quarter. Adjusted EBIT increased by €82 million to €60 million. This improvement in profitability was observed across all segments and was supported by structural changes, lower depreciation costs and higher operating rates. Although wood costs continued to rise placing pressure on our margins, we mitigated this impact through a reduction in other cost categories, including energy, chemicals and fixed costs. Continuing with the Packaging Solutions division, where we continue to navigate through challenging market conditions. There were some indications of a gradual market recovery, yet the division's performance remains adversely impacted by industry overcapacity. Additionally, poor weather conditions in the Benelux area negatively affected the key fresh product segments, leading to reduced deliveries. Consequently, sales decreased by 12% to €254 million, largely attributed to lower pricing levels. The lower selling prices seen in the first quarter of 2024 adversely influenced the second quarter sales. This was a result of previous declines in containerboard prices, which is the main input material for the division. Adjusted EBIT decreased by €60 million, resulting in a negative €1 million for the quarter. The division's profitability was heavily impacted by high margin pressure resulting from a contractual lag in passing the sequential increased containerboard costs on to our customers. Moreover, increased depreciation costs associated with the startup of the De Lier production plant in the Netherlands also contributed negatively to the result. These factors collectively highlight the significant challenge the division faced in maintaining profitability amidst the current market dynamics. Let's now focus on the Biomaterials division, which saw positive developments in both sales and adjusted EBIT. Pulp demand remained stable, and we observed sequential increases in pulp prices across all grades and markets. The global inventory stayed below the 5-year average. In the first quarter, supply disruptions led to tightened pulp availability in Europe during the second quarter. As a result, sales in the division rose by 9% to €413 million. Although deliveries were lower due to the closure of the Sunila pulp mill in Finland, higher sales prices contributed to the increase. Adjusted EBIT saw a substantial rise, increasing by €76 million to €63 million. This improvement was primarily driven by higher sales prices coupled with internal actions aimed at reducing costs and enhancing competitiveness. Shifting focus to the Wood Products division, we observed a continuation of low demand, although there were signs of seasonal improvement. Notably, we saw an increase in volumes, particularly for sawn wood. Despite the volume increases, sales in the division decreased by 5% to €414 million, primarily due to lower sales prices. The low level of building activity remained a significant factors suppressing demand for cross-laminated timber and laminated veneer lumber, Encouragingly, the division returned to a positive adjusted EBIT after six consecutive negative quarters. This was supported by several internal actions aimed at reducing fixed costs. Adjusted EBIT increased by €30 million through €7 million by reductions in both fixed and variable costs. This demonstrates a robust response to cost management and operational adjustments in the phase of ongoing development challenges. Now take a look at the Forest division, which continued its strong performance this quarter. Sales saw a significant increase of 11% to a total of €690 million. Demand continued to be strong in the Nordics with both volumes and wood prices experiencing an upward trend. This resulted in price increasing both year-on-year and quarter-on-quarter. Adjusted EBIT rose by 23% to €76 million, and the adjusted EBIT margin improved to 11% from 10% the previous year. This record high result for the second quarter was primarily driven by increased wood prices, favorable harvesting conditions and strong operational performance across the group's forest assets. So let's take a look and the robust valuation of our forest assets in more detail. We are pleased to report a continued stable forest valuation of €8.7 billion, which translates into €11.06 per share. This stability underscores the strength and enduring value and the potential of our forest assets. The year-on-year increase of €660 million was primarily attributed to the positive changes in the fair value of our biological assets. Additionally, our quarter-on-quarter growth of €99 million was mainly influenced by favorable ForEx, exchange rates, particularly with a stronger Swedish krona. I will now hand over to Seppo to go through details of some key financials.
Seppo Parvi: Thank you, Hans. In 2024, our CapEx level is expected to remain at about €1 billion to €1.1 billion. The consumer board investment at our site in Finland is progressing on schedule and it is our main project running currently. And production is expected to start in the first half of 2025 with full capacity estimated to be reached during 2027. Long term, we keep CapEx at or below depreciation over the cycle. After investment, aim is now to quickly revert to the average CapEx level of €600 million to €800 million. Due to the current business environment and to protect our balance sheet and cash flow, we are continuing to be restrictive on any new major CapEx initiatives. Moving to the next important topic, our cash flow. We have achieved a significant reduction in operating working capital. The profit improvement program initiated in the first quarter this year with an adjusted EBIT target of €120 million and the value creation program started, for example, on efficiency improvements and the reduction of variable costs, have both, as previously mentioned, continue to progress well. They are significantly contributed to an improved earnings trend to enhance efficiencies and improved cash flow, which in turn has strengthened our leverage ratio. We have successfully managed to improve our net debt to adjusted EBITDA ratio to 3.5, down from 4.0 in the first quarter this year. However, it remains above our targeted ratio of 2.0 and has increased compared to the 1.7 recorded in the second quarter of last year. This underlines ongoing necessity for the profitability performance and actions to reduce working capital. This continues to be our top priority. In addition, we have, as mentioned earlier, achieved a significant reduction in operating working capital by €576 million year-on-year, reaching an all-time low level. This success is driven by ongoing efforts and working capital efficiency and to release capital. Maintaining and improving this efficiency remains a focal point for us moving forward. Let's also take a look at our liquidity position next. We are committed to maintain a strong liquidity position, which is crucial in today's volatile business environment for supporting growth investment plans. Currently our cash and cash equivalents stand at approximately at €2.1 billion. Additionally, we have access to unused credit facilities totaling up to €1.9 billion. In further support of our financing strategy, in July, we secured a new €435 million bilateral loan from the European Investment Bank, EIB. This loan, which is currently totally undrawn, will partially fund to significant Oulu mill investment. Additionally, it is important to highlight that we have no financial covenants and maintain an investment-grade rating from both Fitch and Moody's. Let's now shift our focus to the development of our long-term financial targets. Despite the challenging business environment impacting our ability to meet our long-term financial targets, we are seeing some segments starting to recover. As Hans mentioned, we are taking targeted actions to strengthen our business for immediate needs, while also planning strategically for sustained improvements and competitiveness in the future. We have improved our net debt to adjusted EBITDA ratio from 4.0 to 3.5 since the first quarter, as mentioned already. Having set for the Forest division and all divisions are below our return on capital targets currently. I will now pass back to you, Hans, for an overview of sustainability and closer market outlook, please.
Hans Sohlström: Thank you, Seppo. Our growth is underpinned by sustainability, which serves as both a strategic enabler and a competitive edge. We are committed to achieving our ambitious sustainability goals concerning climate change, circularity and biodiversity. In our climate change initiatives, we are enhancing energy efficiency, transitioning to renewable energy sources and increasing our use of non-fossil electricity. These efforts have led to a 46% reduction in production emissions since 2019. Building on this progress, we are targeting net zero carbon emissions by 2040. In circularity, we have reached 94% recyclability of our products and are aiming for 100% by 2030. We are also committed to a net positive impact on biodiversity in our forests by 2050. Our dedication to this principle has earned us the highest EcoVadis rating for the eighth year affirming our commitment to environmental responsibility, labor and human rights, ethics and sustainable procurement. Now moving on to the sequential market demand outlook. Stora Enso anticipates a gradual market recovery in 2024. So let's examine the outlook from Q2 to Q3 for our products across our divisions. Starting with the Consumer Board. Demand in Europe remained stable with a slight uptick expected in China. For containerboard and corrugated packaging, we expect stable demand across Europe. Paper demand is also expected to remain stable but at a low level. In terms of raw materials, demand for both softwood and hardwood pulp is expected to remain stable in Europe and China, alongside stable demand for pulp. A seasonal decline in sawn wood demand is expected during the summer holiday period. At the same time, the construction segment continues to experience weak demand for Building Solutions. In our Forest division, we see a rise in industrial and wood demand across all markets due to seasonality leading to continued tight conditions in Finland, Sweden and the Baltics. Lastly, demand for pulpwood for energy usage maintains its stability. These continuous insights not only reflect the current market demand development, but also contribute to our strategic discussions on a longer-term horizon. So in our next topic, building a more profitable and competitive company, I will cover how our strategic initiatives and capital allocation are aimed at enhancing our market positions and strengthening our competitiveness for sustainable growth in the coming years. Our actions to build a more profitable and competitive company is to deliver on our long-term strategy to position Stora Enso for current and future growth opportunities. We have already discussed elements of this today, but let's deep dive to see the full scope of how we are enhancing profitability and competitiveness through a mix of strategic initiatives and various restructuring and improvement actions. We are also enhancing our financial position by optimizing commercial and asset strategies, reducing working capital and divesting noncore businesses. At the beginning of last year, we discontinued our structurally declining Paper division and the plan to divest the Beihai site in China is proceeding. Although the process is lengthy, securing the right value for our assets is crucial. Ultimately, the value of the deal is prioritized over time. This is nothing new, and we now focus on expanding our business in growing segments of renewable and recyclable packaging, where we already have leading market positions and good access to input material. In 2023, we also completed the acquisition of the Dutch corrugated packaging company, De Jong Packaging Group valued at around €1 billion. Additionally, our new corrugated packaging site in Western Europe is enhancing our position and is expected to be fully operational by 2026, increasing capacity by approximately 20%. Our ongoing investment of €1 billion in consumer packaging at our Oulu Mill in Finland is progressing well. We anticipate production start-up in the first half of 2025 with full capacity projected by 2027. Once fully ramped up, we expect annual sales from Oulu to reach approximately €800 million. To enhance our long-term competitiveness and profitability, we initiated a restructuring program in 2023. This includes redundancies and the closure of several production units with limited long-term viability. Through these actions, we achieved an annual adjusted EBIT improvement of €110 million with full impact from the beginning of this year. Our value creation programs are driven by a structured analytical approach, targeting variable cost reductions through sourcing, operational and commercial efficiencies such as pricing. We have now identified and are implementing about 1,900 improvement initiatives spearheaded by around 500 project owners. These programs are advancing well across all divisions and significantly contribute to our operational and financial performance. Moreover, our profit improvement program aimed at reducing fixed costs and achieving a target of €120 million has been progressing successfully since its launch in February. We are now moving into the implementation phase after finalizing the change negotiations with the units. Full impact is expected from the beginning of next year. Together, these initiatives are contributing to our sustained profitability and competitive edge. In addition to these successful programs, we now operate with a decentralized model with P&L responsible divisions and business units within them. This means that we are also adapting to a completely new way of working. Let's now turn our attention to the recent appointments to our group leadership team. I'm delighted to welcome Niclas Rosenlew as Seppo's successor as Stora Enso's CFO. Niclas currently holds the position of Group CFO at the Swedish stock listed industrial company, SKF, a role, he has occupied since 2019. Prior to this, from 2014 to 2019, he served as CFO at Basware and senior finance positions at Microsoft and Nokia before. Niclas holds a Master of Science degree in Finance. He has solid background in CFO and other senior positions in listed companies will be immensely valuable in Stora Enso's continued growth transition, value creation and in reaching our financial targets. I'm also delighted to welcome Carolyn Wagner as our new Head of Packaging Solution. She will replace Smit, who will be retiring. Carolyn is currently divisional CEO of the Packaging division at the German Klingele Paper & Packaging Group, a position she has held since 2021. She has been with the company since 2019, occupying various managerial roles. And prior to that, she has held senior positions at other European corrugated packaging companies, including DS Smith and SCA. Carolyn holds a degree of graduate engineer packaging technology. Her strong packaging industry insight will be important in developing and advancing our Packaging Solutions business. Both Niclas and Carolyn will join Stora Enso latest in January 2025 and be members of Stora Enso's Group leadership team. I will now end the presentation with the key takes from the quarter and how we are building a stronger future. To summarize, we are powering ahead to build a more profitable and competitive Stora Enso for a stronger future. Our actions are focused on improving profits, competitiveness and cash flow. Our value creation programs have driven significant variable cost reductions contributing to operational and financial performance across divisions. Additionally, our focused profit improvement efforts to reduce fixed costs meaningfully enhance our earnings and cash flow, reflecting our commitment to financial stability. And based on our performance analysis and market trends, we expect our full year 2024 adjusted EBIT to be significantly higher, meaning plus 50% and above than the €342 million in 2023. Looking ahead, we anticipate further progress and remain dedicated to investing in resources that deliver exceptional service to our customers and robust returns to our shareholders. Thank you for your attention, and now we are ready to take your questions.
Operator: [Operator Instructions] Our first question comes from Ephrem Ravi at Citigroup. Please unmute your line and ask your question.
Ephrem Ravi: Thank you. My question sort of twofold question. Firstly, the general tone of the guidance is stable. Does this mean that the second quarter volumes are the new normal after the destocking last year and nearly most of the near-term increases in revenue and profitability will come mainly from price and mix? That's the first question. And secondly, on CapEx, on your CapEx indication for next year of €600 million to €800 million, does that include the disposal of Beihai and the reduction of maintenance CapEx associated with that asset? And also overlook on conversion, how much of the €1 billion CapEx has already been spent by end of first half 2024 and end of 2024 expected? And also, can you remind us why the ramp-up of Oulu is so slow, almost two years to 2027, and if anything can be done to accelerate that? Thank you.
Hans Sohlström: Thank you, Ephrem. I'll take the first question and Seppo will handle the second question. So first of all, regarding our outlook for the third quarter. Yes, you're right. I mean, we see stable volume development in general on a clearly better level than where we were last year. So yes, you are right that prices are moving up and therefore, we are -- we will also enjoy a better pricing especially in our board grades throughout the third quarter.
Seppo Parvi: Then when it comes to CapEx guidance and the range of €600 to €800 million and the Beihai divestment process. As you know, process is continuing and timing is still open. But this is, of course, a general guidance range that you can also see from the history. And as you know, Beihai is relatively new side, so CapEx figures for Beihai are not that large -- in the larger scale of things. Then when it comes to Oulu CapEx this year last year, we don't specifically go into facing as such to CapEx expenditure, it's fair to say that this is -- this is the CapEx-heavy year in Oulu and roughly, you could say that higher half of the budget is spent this year. And then, of course, there is some carryover to next year when it comes to commission of the machinery and buildings, et cetera, that is then still to be part of the CapEx for next year. Ramp-up of the site, I think it's -- I would say, it's slow. You have to remember that it is €1 billion investment. It is about -- ramp up about the converted machine ramp-up and also being able to open potential bottlenecks in order to reach the full capacity. Of course, we expect to reach market demand -- the quality market demands for the product already significantly earlier than that.
Operator: Our next question is from Charlie Muir-Sands at BNP Paribas Exane. Please unmute your line and ask your question. Charlie, please go ahead. We'll move on to our next question from Patrick Mann at Bank of America. Please unmute your line and ask your question. Thank you very much and thanks for the call.
Patrick Mann: I just wanted to ask a little bit on how you are thinking about fiber costs, particularly in Finland because it does seem that now this is a structural issue? So everybody that's consuming fiber from Finland has moved up the cost curve. I mean, what can you do to manage that or should we expect that it should ease over time or is this the new normal and everyone's going to have to learn how to live with it and how to adapt? Thank you.
Hans Sohlström: Yes. Thank you, Patrick. Yes, you are right. I mean, wood costs in Finland are record high. And also the wood cost in Sweden have been increasing. They are lower than in Finland, but also on a relatively high level. And the best way to cope in this type of a high-cost environment is that you produce the highest added value products with the best wood paying capability in efficient integrates. And that is exactly what we do. I mean consumer board grades are priced almost -- over the cycle, they have a price point about twice the level of, for instance, paper and pulp. So it means that the cost of wood in the total cost structure of consumer board is clearly lower and we produce also a board -- consumer board and efficient integrates where we have, in most cases, we have integrated board and pulp production on the safe side, which brings efficiencies. And in addition to that, we have a mechanical working industry, which is supporting also efficiencies. So when we buy wood we get an assortment of logs and pulp wood. Part of the logs goes into the wood products, but then the chips and the sawdust plus also the smaller -- the tops of the trees is very good and competitive raw material for board making. So it's really about producing the highest added value products with the best wood paying capability in efficient integrates, so that is exactly what we do. And of course, this hybrid costs emphasizes the importance to address the topics you can address, which is improving efficiency, improving cost efficiency, reducing costs wherever you can -- and so that's what we are doing. Another thing I would like to highlight here is that if we look at, for instance, consumer board, which is our main product segment, about 70% of all the European consumer board capacity is located in Finland and Sweden. So in the areas with these high wood costs. And the rest 30% is mainly unintegrated capacity. So relying on sourced pulp market and paying market pulp prices. And that means that when speaking about pricing, there is also a cost push on prices in -- especially in consumer board, which is supporting, let's say, the price increases. So those are the two aspects I wanted to bring up here. We are well placed to operating in a high wood cost environment. And also, when we look at the market dynamics and pricing, it actually -- it concerns almost the whole industry directly and indirectly.
Seppo Parvi: Maybe one more point to be added that, that is one reason why wood cost has been increasing so much and that has been increasing demand on energy side and that has been increasing the demand because they don't get chips from Russia anymore and also domestic sawmilling has been down, so less ships available from the domestic sawmills. And assuming and then -- so many -- situation gets normal, that would improve the availability of chips to energy industry that should see some relief at some stage. And also, as we know, energy industry is also, in some cases, moving from bio-boilers to electricity boilers, and that should also give relief. But that will take some time before those give some relief to the market. But those are the drivers to keep in mind.
Operator: Our next question is from Pallav Mittal at Barclays. Please unmute your line and ask your question.
Pallav Mittal: Hi. Good morning. A couple of questions. Following up on the guidance for the full year. So it seems that demand is stable, and it is mainly going to be pricing going into the second half, can you quantify how much incremental benefit do you see from the value creation and profit initiatives in H2 versus H1? So that's the first one. And secondly, in the other segment, you reported a loss of around €30 million, which was, I would say, much worse than what people were expecting. Can you help us understand how we think about this going into H2?
Hans Sohlström: Yes. Thank you very much, Pallav. I will take the first question and Seppo, the second question. Yes, I mean it's public information, there has been pricing -- several price increase announcements across the board for both containerboard and consumer board. And also, as we know, the pulp prices are on a historical high level and stock levels were still below 5-year average levels, so that will contribute positively. On the other hand, we have also the higher fiber costs, especially. So that emphasizes the importance to work on our value creation plans, value creation programs as well as our fixed cost related profit improvement programs. We are not disclosing any exact target figures for the value creation programs. Regarding the fixed cost reduction, profit improvement program, we have said that we will achieve the €120 million impact in reduced fixed costs next year, and a part of those -- that impact will come also during the second half of this year. However, the value creation programs are significant. They are focusing on sourcing, operational efficiency and commercial excellence. And as mentioned before, we have about 2,000 identified initiatives in all our mills, divisions and functions and we have about 500 initiative leaders working on executing on these programs. So we see already a significant impact, but there will be more coming from these programs. Then the second question, I hand over to Seppo.
Seppo Parvi: Yes, thanks. And we'll take a segment after. There are a couple of things to keep in mind and remember, first of all, last year, we had divested paper assets still reported in segment, and that has an effect if you compare to the result compared to year before. Another driver is that we have some legacy costs included there from the sites that we have closed. You know that we are -- or we have closed production in Sunila and we have some maintenance energy-related cost for those sites as the process to find new use for those, so we keep them up for the time being. And the third reason relates to energy market and energy costs. There was so long maintenance stock at Olkiluoto nuclear power station, reducing the volumes and adding to the cost and those are a bit of extraordinary effect in the quarter.
Operator: Our next question is from James Perry at Citi. Please unmute your line and ask your question.
James Perry: Hi, thanks for the presentation. So I'd like to ask about Packaging Solutions. You mentioned stronger demand for corrugated packaging in the report, but a lag in pricing from containerboard as well as overcapacity, how significantly do you see this overcapacity persisting into H2 and 2025, particularly with your recent expansions De Lier and [indiscernible] and so on balance, how closely would you expect a recovery in packaging solutions to follow a recovery in packaging materials? And what will it take for the business to eventually provide meaningful EBIT contribution? Thanks.
Hans Sohlström: Yes. Thank you very much, James. Yes, exactly as you stated, I mean, the corrugated demand is stable and it's on a better level than where we were last year. But there is also lots of capacity expansion, including ourselves, our De Lier site is adding about 20% to our corrugated capacity in total. However, I mean, we have seen historically that there are strong fundamental demand drivers for corrugated packaging. We also see that the European Union packaging, packaging waste regulation is driving further demand growth for corrugated packaging. So renewable, recyclable packaging materials, replacing plastic type of packaging with the more sustainable solutions. So there are clearly positive demand drivers here, but we are still suffering from the overcapacity situation. However, historically, we have seen that what is happening now is -- has happened before. So when containerboard prices start moving up, the box prices -- corrugated box prices also moved up but with the time line. But longer term, we have seen that with higher container board prices also, the Packaging Solutions business is gaining and improving margins. So we are experiencing kind of a pricing time lag situation here, but we think that for the Packaging Solutions business also longer term, the higher container board prices will be good for pricing of corrugated boxes.
Seppo Parvi: And additionally, we have to remember the retail market is still soft and of course, that has an effect in the demand of packaging as well. And I think that is important not only to our board business, but also corrugated important that the market of people's purchasing power comes back and that way, the volumes in the retail will go up. One thing to add to my answer earlier on electricity market and the segment, of course, one more reason is that electricity prices have been unusually low this summer and spring and typically, we would expect those to go up towards the winter months when the colder weather comes.
Operator: Our next question is from Cole Hathorn at Jefferies. Please unmute your line and ask your question.
Cole Hathorn: Thanks for taking my question. Just a follow-up on how you're thinking about the business going forward from here because you've done a lot of restructuring on your sourcing and the variable costs, but ultimately, how do you think about your asset base? When are you going to be in a position to start the process to do a detailed review of which asset base you're keeping now that wood costs are going to be higher for longer in the Nordics? And how do you think about that as you ramp up new Oulu capacity into next year? Is it not better to close capacity sooner that your operating rates improve faster? Thank you.
Hans Sohlström: Yes. Thank you very much, Cole. We actually -- we did an extensive asset strategy review last autumn together with our management and the Board of Directors. So we have a very clear view and plan for how to develop the competitiveness and how to develop our asset base. And you are right, of course, that with several mills, we have also optimization opportunities, but we don't have any, let's say, now plans that we can disclose or go into at this stage.
Seppo Parvi: And just to remind that we have, actually last year, closed some containerboard capacity already saw milling capacity and Sunila pulp mill exactly addressing longer-term profitability of the assets we have in our portfolio.
Cole Hathorn: And then maybe just following up on biomaterials. Earnings were fairly stable quarter-on-quarter despite pulp prices going up, as we go into the third quarter, do you think we're going to see better pulp deliveries, higher price realization, that should improve the profitability of the Biomaterials division into Q3. I'm just wondering should Q3 be the significantly stronger earnings division from a pulp perspective?
Hans Sohlström: Yes. Thank you, Cole. Well, first of all, I think we need to also remember the maintenance shuts and how they impact our earnings because the pulp mills are big operations. So the annual maintenance shuts have a significant impact than we had maintenance shuts in the second quarter where we'll also have some in the third quarter. So they have a significant influence also on the biomaterials EBIT generation.
Operator: Our next question is from Detlef Winckelmann at JPMorgan. Please unmute your line and ask your question.
Detlef Winckelmann: Morning, everyone. Just a quick one. I know you touched on it a little bit on the segment Other. When we start to look at those legacy costs and I get the principle behind it, but I wasn't quite clear as to whether we should be expecting these legacy costs to continue going forward into Q3, Q4? And then my second question still relates to segment Other. In terms of -- I understand there's lower energy prices, I understand there was downtime for [OL3] can you give us some kind of guidance on a quarter-on-quarter basis, I suppose, from Q1 '24 to Q2 '24, what's the split between the increased legacy costs and what's energy-related? Thank you.
Seppo Parvi: When it comes to legacy cost, of course, we're in a process in Veitsiluoto and other places to find new use for the assets we have already rented for Veitsiluoto some buildings, some parts of the site as divest. But continues difficult to give you very clear phasing how those will start to go down. But absolutely, we are working on reducing them and also cleaning the site. When it comes to electricity cost development and such, we are not giving guidance. As you know, we keep guidance only on group level, adjusted EBIT and then the same cost for all divisions and segment Other. I, of course, understand your challenge that looking at the segment Other development because it is a bit bumpy sometimes because of the things mentioned earlier. But if you want to model something, I can -- I think the best advice is to take an average of some past three to four quarters and you start as your estimate in the modeling.
Operator: Our next question is from Robin Santavirta at Carnegie. Please unmute your line and ask your question.
Robin Santavirta: Yes. Good morning and thank you very much for taking my questions. First of all, Hans, you're now been in the company for soon one year and you've launched some fixed cost reduction programs and other profitability improvement programs, how long, sort of, in the time span will it take before all of that is realized in the P&L.? So where are we now? Is it like 50% already visible or more or less? Or if you just could expand a little bit on that topic?
Hans Sohlström: Yes. Thank you, Robin. Well, yes, I mean, what we are doing here is extensive. I mean, we have -- in addition to the profit improvement, so the fixed cost programs that we have announced and where we have also published the cost saving target of €120 million, which will be fully in our P&L next year. We have the value creation programs. And as I mentioned before, we have close to 2,000 initiatives now identified, and we have 500 initiative owners. And as we have a very structured, very analytical process. These programs are -- they concerns all the mills, all the divisions and businesses, all the functions. And as we said, towards the end of last year, I mean, we have really been turning every stone to improve the efficiencies. And these efficiencies are found in many different areas. They are sourcing related, so by changing recipes, we can reduce costs and improve our efficiency. They are operational efficiency related by making -- operating our mills in different ways, we can save energy, we can optimize energy usage, we can also improve good yields and utilize in a more efficient way, the wood that we are using for manufacturing. And we can, for instance, optimize logistics and they are also commercial related. For instance, pricing related, how we can price in a better, more analytical, more professional way and achieve improved margins through that. So really across the board. And we are in an acceleration phase. So already in Q1 and Q2 of this year, we have some impact of these programs, but they are impacting our results increasingly. And if we look at those 2,000 initiatives to get the full impact of those which have been so far identified and put into projects, with clear project leaders with a clear program with a timeline to get the full impact, we need to go into 2026. So basically, they are gradually impacting our margins and profitability as from this year throughout next year until 2026. But I want to emphasize that this is a cultural change. It's a new way of working. And what is really important here is the continuous improvement. So this is not like a project which will start and we end by 2026. No. This is the new way of working in Stora Enso where we continuously in a systematic analytical way identify improvement opportunities. We put them into projects, we put responsible persons in place, and we implement those and we execute. And we measure what we really get into our bottom line. You get what you measure. So having clear measurements and follow-up is really essential.
Robin Santavirta: Thank you very much for that extensive answer. The second question I have is related to the forest assets. They're quite valuable and now make up for a large part of your market value and enterprise value. Is there any way for you guys to better monetize in a way the value of that asset to get better sort of outcome for the shareholders? Now it's not fully reflected, I would say, in the enterprise value. Anything you can do on that front?
Seppo Parvi: Well, if I can start first more on transparency on that side and then Hans can fill in. But over the years, we have already first of all started to report forest division separately in order to be more transparent and so the profitability generation capabilities, cash flow generation capabilities. We also moved to market price based valuation method versus Sweden later in Finland in order also to reflect better the true price. As you have seen, it's holding well, even in the current economical environment, which I think shows the stability of the assets and growth potential of the asset. And literally, if you look at the current wood market situation, I think more and more people can also understand the strategic importance of having the forest asset in our board, it has been an important instrument when it comes to ensuring wood availability for our mills in Finland and Sweden as well as our powerful operations in Uruguay and Brazil. So that is something we have done and we continue to be transparent and that they all better figures. And I think over time, that should, of course, build also confidence on the market participants like yourself on the value potential of the asset.
Hans Sohlström: Yes. And I think we can only say that we agree with your analyzing study. It's not the value of our forest holding is not really reflected in its full value in the company. But the market is always right. So that's how it works.
Operator: Our next question is from Lars Kjellberg at Stifel. Please unmute your line and ask your question.
Lars Kjellberg: Thank you for taking my question. I just want to come back to the wood cost situation again. I appreciate, Hans, you made the comment that a very significant part of the consumer board is produced in the Nordic region. There's another aspect, of course, that is a very significant part of that capacity that is exported out of Europe and where your competition doesn't have the same sort of issue. So how do you think about that board market in terms of risk to repatriating overseas tonnes because Europe cannot compete or can you compete in global markets? That's my first question. The second question, which I just wanted to hear you maybe elaborate a bit about the -- as you mentioned in your statement today, we're intensifying our focus on capital allocation and that's a strategy, because you're also talking about reducing CapEx, while you're trying to improve the business, would it make sense to maybe think about capital allocation less growth again more internally and not necessarily bring it down, but clearly spending it on housing improvements and efficiency because it seems difficult from my vantage point, at least, just to save you say self into a good profitable business? That's my questions.
Hans Sohlström: Yes. Thank you, Lars, for the question. Well, first, about the consumer board or let's say, the board and the exports from Europe overseas. Well, first of all, I think it's really a question about product specialization. We are producing folded boxboard products, and we will produce in our new Oulu consumer board line, folded boxboard qualities, grades that -- basically, there is nothing exactly similar, for instance, in the U.S.A. These folded boxboard grades, thanks to the product properties, the customers can achieve 20% to 30% yield advantage because we -- they can go down a basis weight and still get the same properties as the locally U.S.-produced corresponding grades. So it's really about product differentiation and quality differentiation. That's the way how to manage and to get pricing power. And then when it comes to the capital allocation, as I said, we went through an extensive asset strategy, asset review and created an asset strategy and strategies really about choices. So we have a clear plan now where to allocate our resources in order to create really the most cost-competitive integrates. And also at the same time, we're not to allocate capital because perhaps some materials are then more in a run for cash mode. So we have that clear strategy in mind, and we will allocate capital accordingly.
Operator: We are now at time. I will hand back to Hans Sohlström and Seppo Parvi for closing remarks.
Hans Sohlström: Thank you very much. Thank you for your attention. We are moving in the right direction. As you can see, we more than quadrupled our EBIT in the second quarter, and this was the third consequent quarter of EBIT improvement. We are focusing on strengthening our balance sheet, and I'm happy that in this quarter, we made the turnaround in net debt-to-EBITDA moving down from 4.0 to 3.5. Though when it comes to EBIT, of course, our ambition is much, much higher, and we are systematically working towards improved profitability to achieve our long-term financial targets. And the same applies also for our indebtedness. We are committed to move our net debt-to-EBITDA below our target of 2.0. Thank you very much for your attention, and we are continuing to execute on the path with speed and determination. Thank you very much. Bye-bye.